Operator: Good day and thank you for standing by. Welcome to the Acadian Timber First Quarter 2025 Analyst Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Susan Wood, Chief Financial Officer. Please go ahead.
Susan Wood: Thank you, operator. Good afternoon, everyone, and welcome to Acadian Timber's first quarter conference call. With me on the call today is Adam Sheparski, Acadian's President and Chief Executive Officer. Before discussing Acadian's results, I will first remind everyone that in discussing our first quarter financial and operating performance, the outlook for the remainder of 2025 and responding to your questions, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information on our known risk factors, I encourage you to review our news release and MD&A, which are available on SEDAR and on our website at acadiantimber.com. I'll begin by outlining the financial and operational highlights for our first quarter ended March 29, 2025. Adam will then provide some additional comments and we'll discuss our outlook for the remainder of 2025. Acadian experienced steady demand during the first quarter despite heightened economic uncertainty. However, unfavorable weather conditions in both New Brunswick and Maine as well as continued limited contractor capacity in Maine impacted our ability to deliver to our customers. Overall, both timber sales volumes from our timberlands and timber services activity increased as compared to the same period in the prior year, but were offset by a decrease in the weighted average selling price. Acadian generated sales of $24.8 million compared to $28.8 million in the prior year period. The first quarter of 2024 included $4.9 million in carbon credit sales, while no carbon credit sales occurred in the first quarter of 2025. Timber sales and services revenue increased by $1 million year-over-year, with timber sales volume, excluding biomass, increasing 3%. Pricing for softwood sawlogs and hardwood sawlogs decreased by 10% and 8%, respectively, due to weak end use markets. Softwood pulpwood pricing decreased 11% due to lower demand, while hardwood pulpwood pricing increased 5% due to longer hauling distances. Biomass sales volumes doubled as compared to Q1 2024. However, pricing decreased 69% due to more roadside sales versus delivered sales. Overall, the weighted average selling price, excluding biomass, decreased 5% compared to the same quarter last year. However, it's also worth noting that the weighted average selling price increased 3% from Q4 2024, demonstrating recent stability. Operating costs and expenses were $20.4 million during the first quarter compared to $21.2 million during the first quarter of 2024. Operating costs and expenses related to timber sales and services increased as a result of higher timber sales volumes and higher timber services activity and were offset by a decrease in costs related to carbon credit sales as compared to the prior year period. Transition costs associated with the establishment of our own logging operations in Maine also impacted operating costs and expenses. Adam will speak more later about our new internal logging operations. Adjusted EBITDA for the first quarter was $4.7 million compared to $10.6 million in the prior year period and adjusted EBITDA margin for the quarter was 19% compared to 37% in the prior year period. Adjusted EBITDA for Q1 2024 included $4.1 million related to the sale of carbon credits. Our net income for the quarter totaled $3.7 million or $0.21 per share compared to $6 million or $0.35 per share in the same period of 2024. Lower operating income and lower noncash fair value adjustments were partially offset by lower income tax expense. Acadian generated $3 million of free cash flow and declared dividends of $5.2 million to our shareholders during the first quarter or $0.29 per share. I will now move into the first quarter results for our New Brunswick operations. Sales for our New Brunswick timberlands were $22.1 million compared to $19.1 million during the prior year period. Sales volume, excluding biomass, increased 15% compared to the prior year period, primarily due to strong demand for sawlogs. With regards to sawlogs, softwood sawlog volumes increased 15% and hardwood sawlog volumes increased 40% compared to Q1 2024. Pricing for softwood sawlogs decreased 8% and pricing for hardwood sawlogs decreased 6%, both due to a lower-value product mix combined with weakness in end-use markets. Softwood pulpwood volumes increased 9%. Although demand for spruce pulp wood decrease, demand for other softwood pulpwood increased as compared to the prior year period. Overall, pricing for softwood pulpwood decreased 10% as compared to the prior year period. Hardwood pulpwood sales volumes increased 11% as compared to Q1 2024 with some softening in demand, although some softening in demand was noted as we exited the quarter, stemming from elevated regional inventories. Hardwood pulpwood pricing increased 4% compared to the prior year period due to longer hauling distances. Overall for New Brunswick, the weighted average selling price, excluding biomass, decreased 3% as compared to Q1 2024. Operating costs and expenses were $16.3 million during the first quarter compared to $13.2 million in the prior year period as a result of increased harvesting and timber services activity and increased weighted average variable costs. Weighted average variable costs, excluding biomass, increased 2% as a result of higher contractor costs compared to the prior year period. New Brunswick's adjusted EBITDA for the quarter was $5.9 million compared to $6 million in the prior year period. Adjusted EBITDA margin was 27% compared to 31% in the prior year period. Switching over to Maine. Sales during the first quarter totaled $2.8 million compared to $4.8 million in the same period last year. Timber sales volume, excluding biomass, decreased 44% compared to the same period of 2024, primarily due to reduced contractor capacity and unfavorable weather conditions, which impacted deliveries. Softwood sawlog volumes decreased 43% and pricing decreased 16% in U.S. dollar terms compared to the prior year period as a result of changes in product mix and weakness in lumber markets. Hardwood sawlog volumes were negligible during the first quarter of the year. Softwood pulpwood volumes were also negligible in Maine due to the extended shutdown of a major softwood pulpwood customer. Hardwood pulpwood volumes decreased 49%, although pricing increased 2% in U.S. dollar terms as compared to the same quarter last year. Overall, the weighted average selling price excluding biomass, in U.S. dollar terms, decreased 12% as compared to the same quarter in the prior year. Operating costs and expenses for the first quarter were $3.6 million compared to $3.7 million during the same period in 2024. Decreases in costs resulting from lower timber sales volumes were partially offset by transition costs related to the start-up of our own logging operations. Adjusted EBITDA for the quarter was negative $700,000 compared to $1.2 million during the prior year period, and adjusted EBITDA margin was negative 24% compared to 24%. With respect to Acadian's financial position at the end of the quarter, it remained strong, ending with a net liquidity position of $17.6 million including cash balances and our revolving credit facilities, which remain undrawn. A portion of our long-term debt totaling $46 million matured during the first quarter. We have refinanced the debt for a 5-year term under essentially the same terms as the existing facilities at a rate of 5.25%. With that, I will now turn the call over to Adam.
Adam Sheparski: Thank you, Susan, and good afternoon, everyone. As always, Acadian remains committed to health and safety as our number one priority. During the first quarter, there was one recordable safety incident among our employees. The incident was minor and the employee has returned to work. As we have said before, we believe that emphasizing and achieving an excellent safety record is a leading indicator of success in the broader business and incident reduction continues to be a primary focus for Acadian. As Susan mentioned, our operations and financial results continued to be affected by limited contractor availability in Maine, which has been a persistent issue for several years. In response, during the first quarter, we took meaningful steps towards addressing this challenge by establishing our own internal logging operations in Maine, which we expect to ramp up over the course of the year. This occurred through two initiatives. First, in January, Acadian purchased several pieces of harvesting equipment for $2.4 million and hired equipment operators to conduct harvesting operations on our main timberlands. Then on February 28, Acadian acquired additional logging and related assets for total cash consideration of $6.9 million. These assets include harvesting, trucking and road working equipment and related real estate, which combined with an established workforce, constitute an operational logging business, which has operated on our land base for many years, and two months into the acquisition we have been very pleased with the professionalism and entrepreneurial spirit of the new team. The transition to internal logging operations required a certain amount of initial investment, including start-up costs and transaction fees as well as costs associated with training and development of operators that increased our cost in Maine during the quarter. We do not expect a significant amount of these costs to recur. However, additional investments in equipment will be made as necessary to ensure productive and efficient operations. Although some operations will continue to be performed by external contractors in Maine in the near term, these initiatives represent a significant transition away from contracted logging operations in Maine. So far, the transition has gone very well, and our entire employee base has come together as one team. As our locking operations are further developed, we expect to expand our production capacity and reduce our operating costs in Maine. Turning to our outlook for the remainder of 2025. Near-term pressures on end-use markets persist and potential tariffs are causing concern among forest products companies in both the U.S. and Canada. We continue to evaluate the impacts that could be felt by Acadian and its customers and the alternative strategies that may be available should tariffs be imposed. However, with the ever-changing landscape and the many dynamics that come into play, including the greater economic outlook, the ultimate impacts cannot be known at this time. North American interest rates and inflation are showing signs of easing and the consensus forecast for U.S. housing starts is steady and approximately 1.37 million starts in 2025 as compared to 1.35 million in 2024. We remain confident that the stability of the Northeastern forestry sector, combined with the long-term requirement for new homes and repair and remodel activity will support the long-term demand for our products. We maintained sufficient contractor availability in New Brunswick through the first quarter, which is expected to continue for the remainder of the year. Although tight labor markets in Maine and unfavorable weather conditions contributed to delays in trucking in the first quarter, we continued harvesting and have a healthy inventory of harvested timber ready to truck as spring road conditions allow. As I mentioned, the establishment of our own internal logging operations is expected to alleviate historical logging capacity constraints and increased overall production over the quarter of 2025, while reducing operating costs over the longer term. Demand for Acadian's hardwood and softwood sawlogs is mainly driven by regional supply and demand. Near-term softwood sawlog demand is expected to remain stable, while pricing may remain challenged until end-use markets have improved. Hardwood sawlogs are being impacted more by supply constraints, and therefore, demand is high, and we expect pricing to increase in the coming quarters. Demand and pricing for softwood pulpwood is expected to remain at reduced levels in the near term and demand for hardwood pulpwood begin to soften due to elevated regional inventories as we exited the quarter which may affect demand and pricing in the near term, but we expect volumes and pricing to improve as we progress through the remainder of the year as this inventory is depleted. With respect to voluntary carbon credits, demand and pricing are expected to remain stable. After selling nearly all of our currently registered credits in 2024, our inventories are expected to be replenished in the near term. The registration process for the second and third tranches of carbon credits for the ongoing project is expected to result in approximately 350,000 credits in total and is expected to be completed in the second quarter of 2025. We have already begun the registration process of our fourth tranche of credits, which represents an additional 140,000 credits and expect these to be registered by the end of 2025. As a reminder, the protocol for developing compliance carbon credits for managed forest in Canada was finalized during 2024 and Acadian is evaluating the opportunities to develop eligible carbon credits that the protocol may present. In conjunction with the opportunities that exist under the current protocols and is in the process of designing our next projects. We expect to remain busy with real estate through the remainder of 2025. We have been making investments in both real estate projects and renewable energy and remain optimistic of the opportunities that exist for Acadian. We expect to begin to sell our residential lots this year and continue to focus on further investments and partnerships in renewable energy in both Maine and New Brunswick. In closing, supported by a strong balance sheet, diverse markets and a highly capable team, Acadian has the ability to weather challenging operating and economic conditions as they arise. With our new logging operations in place in Maine, we look forward to a productive year ahead. Through 2025, we will remain focused on safety and environmental performance while obtaining the highest margins available for our products and making improvements throughout the business to maximize cash flows. Guided by the principles of sustainable forest management, we will continue to advance opportunities to deliver long-term value to our shareholders. With that, we are now available to take your questions. Operator?
Operator: Thank you.[Operator Instructions] Our first question comes from Matthew McKellar with RBC Capital Markets. Please go ahead.
Matthew McKellar: Hi, good afternoon. Thanks for taking my questions.
Adam Sheparski: Hi, Matthew.
Matthew McKellar: Firstly, you mentioned the additional investments in equipment in Maine could be made as necessary and I recognize the acquisitions you made in Q1 were mid-quarter. But given some of the trucking delays in Maine in Q1, do you see any need to continue to build your own internal tracking component beyond what you've already acquired? Or with internal trucking capacity really not have been helpful in the quarter, just given the dynamics around weather. Thanks.
Adam Sheparski: Yes. No, it was -- right after the acquisition at the end of February, we've got hit with unseasonably warm weather. So trucking certainly slowed regardless of what capacity we had. As we look forward, the trucking capacity that we did buy, I am not sure it's going to be able to handle all of our harvesting, but we do have. As opposed to our harvesting constraints we have been made there is a significant amount of trucking capacity that we believe we are going to be able to use in the future. So we're going to lean into that starting over the next couple of weeks once we get the roads back opened up. So there's no big significant plan today to invest in more trucking capacity for us. We are going to use existing contractors. We've already had some of them reach out. So I think we're going to be in a good shape without having to invest in trucking at this point.
Matthew McKellar: That's great, thanks for the color. And how significant should that reduction in operating cost be in Maine over the next few quarters as you shift to those internal harvesting operations?
Adam Sheparski: Yes. So over the next couple of quarters, I expect it to be progressive but lumpy and at the same time, Q2 is obviously a low volume quarter, most years and then it ramps back up in Q3 and Q4. The way we see it over the long-term, we look at New Brunswick and say that is a great model. That's why we would expect to see our cost structure align with going forward. So as you look forward for our Maine operations, those are our targets, and that's what I would use is achieving the same margins at high 20s that we see in New Brunswick. I would like to see that in Maine.
Matthew McKellar: That's helpful, thank you. Next for me, I recognize there's a lot of uncertainty around the outlook. Do you expect any impact of sawlog demand in New Brunswick later this year is duties step higher and Section 232 tariffs are potentially introduced? And could that potentially be offset by any tailwinds in Maine? Any help around how you are thinking about what the math looks like on a net basis, what we get through the other side would be helpful? Thanks
Adam Sheparski: Yes, it's a great question. We've been -- this is the time of year when we have a lot of conversations with our customers about the remaining part of 2025, there's been a significant amount of demand for softwood sawlogs in particular on both sides of the border. Our harvesting capacity has been great in New Brunswick as a result of a lot of hard work, a lot of good hard work from our New Brunswick team. I'm not sure that's been felt across the entire region. So there is mills that are looking for softwood sawlogs in New Brunswick. I would say what we experienced in Maine as well is not unique. And so we have softwood mills in Maine and across the border into Quebec, etcetera, that are looking for softwood sawlogs. So the faster that we can get up and running, the better because we have homes for all of our softwood sawlogs as we look through the rest of 2025, and I would say, even though past that.
Matthew McKellar: Thanks for all the detail there. Last one for me. The second and third tranches of credits you expect to register this quarter -- have you done any pre-marketing of those? And is there anything you'd share around sale timing, for example, is that a Q3 kind of events or any color around kind of expected pricing? Thanks.
Adam Sheparski: Yes, that's a tough question. I know that our third-party developer is working hard to market those credits. I don't think there's any sales in place at this point in time, so it will be hard for me to actually commit to anything at this point in time, but we'll keep you updated as we progress.
Matthew McKellar: Okay, fair enough. Thanks very much. I’ll turn it back.
Adam Sheparski: Great. Thanks, Matthew.
Operator: Thank you. I'm showing no further questions at this time. I'd now like to turn it back to Adam Sheparski for closing remarks.
Adam Sheparski: Great. Thank you, operator. On behalf of the Board and management of Acadian, I would like to thank all of our shareholders for their ongoing support. Thank you, stay safe and we look forward to you joining us for our second quarter of 2025 conference call on August 7. Goodbye.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.